Operator: Ladies and gentlemen, thank you for standing by. Please be welcome to the Eletrobras Earnings Conference Call for Fourth Quarter 2021. Presenting Eletrobras Team, we have here Mr. Rodrigo Limp, President of Eletrobras; Mrs. Elvira Baracuhy; Financial and IR Director; Mrs. Camila Gualda, Governance, Risks and Compliance Director; and Mr. Pedro Luiz Jatobá, Generation Director. We'd tell you that this earnings conference call is being recorded and is going to be available at the Company's IR website where it's going to be available the presentation in both languages. We might tell you that who may need simultaneous translation; we have this tool available on the Globe icon, read interpretation located on the inferior center on your screen. While we selected, please choose your preferred language, Portuguese or English. Participants who want to listen to earnings conference call in English, please there is option to silence the original audio in Portuguese clicking in original audio. For Q&A session, we want you to know that the questions maybe sent via the Q&A icon at the lower session of your screen. Further, your names will be announced that you may do your question live. In this moment a requests will be made to you activate your phone screen. You're perceiving like to -- let you guys know that all the statements that may be made during this earnings conference call relative about the Company's perspectives, projections, goals and financial operations may constitute beliefs and promises of Eletrobras. These informations are only available at the Company. Future considerations are not guarantee off development, they involve risks and uncertainties, and they should be or not happening. Investors may understand as these conditions may influence on other results. Now, I'd like to give the words to Mr. Rodrigo Limp, President, first to start our presentation. Mr. Rodrigo, please move on.
Rodrigo Limp: Thank you. Good afternoon to all of you. And now we want to say hello to everybody on the Company, and all of you that are with us today. We are very happy to be with all in this earnings conference call on this presentation on the fourth quarter of 2021. Since we presented before, most of our staff is here, our finance is hearing this presentation. And since we said before, we're going to have a Q&A session to get about any doubts on these annual results; on the results that we showed up last Friday. About the presentation, I'm going to present you guys the main highlights about the operations and finance situation. And then, we'll present the details about the financial information, about the demonstration about last week. I'm starting this presentation. I would like to put on the first slide. That slide is about the sector and economical context about Eletrobras that will be done -- we are involving -- we are evolving our results around the country. And comparing 2020 and 2021, we had a development of 8%; and about the pandemic situations, now that we are starting back on our situation working we have this growth. On the fourth quarter we have development of 2.5% and by the relevant information about the last information we have the GSF, and about the PLD. On our last conference call on the beginning of November, we have -- we had really low results, about 50%. About the crisis that we had in the country about the last few months, it had been reversed. Now we have a really comfortable situation on the national scale, and it reflected on an improvement on the GSF. This is even comparing to 2020, comparing on the last two months, and we had an increase on the rank that happened. Now similar situation, we had the PLD. I think we had the bigger impact on the  situation crisis, we had low numbers, and on the last quarter we had an increase on a sharp rate market. And our next slide, it shows the performance on the generation 2021. We had about 30% of almost all the energy produced in Brazil, and part of this generation. We had coding energy situation, very significant, and when we watch the balance, this call -- the call today show about 40% in margins; the profit. We have that like a small number comparing to the other structure of the company. And if you check this, it's a significant number on the energy number, but on the margin -- growth margin, essentially we had a lower number comparing about the energy. And then the next slide. Here we have the presentation about the development on Eletrobras. We have two graphics here to show you on the transfer meeting lines and on the transformers. We had like a high development, high numbers, and it contributed a lot to -- contribute about the creative crisis to the upper energy to use the energy supplies on the market. We can look this about another availability and the transmission situation is in the last few months on the last quarters or over the last few years, we had like very similar numbers and high numbers, around like 99.8%. And it was a really good improvement on the company. The situation is more positive good when we check about the transformers that we had crashed in the last few years. On the last quarter of 2021, this was the biggest one if you check on the other years. And about the turn-offs, they were like the lowest -- it was lower comparing to the last quarter of 2020. And then transforming this substations, we have 50% cuts and perturbing problems we had like this down numbers as well, comparing the last quarter of 2020 and this proves the evolving numbers of our company. And the next slide, the financial highlights. Like I said, Elvira -- she's going to show over more details on the presentation on the received -- with received margin. Comparing 2021 to 2020, we had a growth of 28%; and about EBITDA, we had a negative EBITDA in the fourth quarter 2020. And now we had 2.4  billion positive in 2021, and this capability of getting a margin growth. And growth margin we had on development comparing 2020, we had about 50% positive; this is about IFRS, all these values. In recurring value, we had these numbers -- we had a 21% positive EBITDA on the recurring margins  and the EBITDA -- then we had 16%. In the growth margin we have the -- this is evolving of 18% and it looks better than IFRS. And on the next slide on the highlights for fourth quarter 2021; the financial highlights. The positive side, we had a recognition of AIC to be paid to the -- to Amazon as the ; they had -- it was an amount of -- it was good, the other companies are already contemplated on the last quarter. And it was like a positive number of BRL439 million. And overall, we had 27% of new bilateral contracts, and imported energy to resale on the utilize and reversion of CRVCA  on positive BRL276 million. And we got a low on PMS of 9%; we're going to have marquee deals ahead. And this resulted -- and we had this number of BRL21.6 billion positive in EBITDA on BRL20.9 billion positive. And the relation about the EBITDA, just one; it shows like the company is solid. In the negative side -- negative highlights and about something on energy, we had a negative or BRL1.4 billion in two parts, this being a BRL760 million provision to passive and being discovered, and BRL697 million to loss about equivalence on this sincere  participation. This is about SPE in the other companies that were on it -- under the discussion on this UCR discussion. About the compensatory loans, we had a number of BRL1.1 billion being this BRL1,803 million  about provision of personal provision, and the rest about the selling situation in these numbers. We had to check about the statements about the criteria about the last quarter that we contemplated this evaluation on the fourth quarter as well, and we had some process check; they weren't provisional. And about the taxes on the process, they believe weren't checked out on the STTJ  situation that was favorite as it was. And we did this thing to check -- it was the PCRE to Amazon, about BRL1 billion, be in BRL620 million about holding, and BRL425 million is about Eletrobras ; we have to check. About contingency; we have BRL778 million being the BRL349 million about the worst information about CCGs . And this we end financial highlights. And going to the next slide about the ESG highlights; we had some acknowledgments on this last quarter of 2021 on the second year trade. We were under Standard & Poor's Sustainability Award. We had the maximum rate on  security and be constantly in climatic changes; in 1st place on the electric sector, and 84th place in general on these companies on the ranking. And for the fifth straight year we had excellence level on the SAS  governance situation. We had also the  company; she was -- she's with the CEU , and had for the second straight year for all the companies -- of all the Eletrobras companies, the gender equality index from Bloomberg. And on the next slide we have also about ESG; we have some things to say about the same for supply sustainability. We now contemplate as well since the last quarter. We have a due diligence ESG about the environment and human rights, and it favors a lot that only Eletrobras -- we follow about the principles and best things to do. And we demand that the suppliers that they do it as well, that we value this as much. We have this sustainability trail, this is aligned with the EAD situational framework, multiple  ESG. And we have outside as well about the environmental politics; we have five institutional movies talking about this environmental politics. And we -- I end this presentation, the first part. And now, I pass the word to financial developments. Please, Elvira, you can go ahead.
Elvira Baracuhy: Thank you, Rod. Good afternoon to you all. Thanks for the opportunity for all of you guys to be here to get our presentation. Our President, he did an opening information, general information about the fourth quarter. And I'll have on this info, the details -- the reported informations under the blue column about the IFRS, and the recurring under green one; and also about the non-recurring events to get the analysis on the results. Talking specifically about receive -- about margin, since we showed up, we had a really good order received the margin. As you can see on the recurring, around 20% positive; this happened since in generation transmission segment, both segment get great results. Under highlights, some of them were also mentioned -- already mentioned. We were importing energy from worldwide; this was a good like margin receipt. We have to highlight this as well as it's going to be ahead, and we have also cost ; we have to analyze this. We had contract negotiations with prices that were negotiated above the prices that we were used to, and we had like a growth on the margins as well in bilateral contracts. In first meeting, we have the effect on IPCA  about the readjustments situation. We had the conclusion about revealing the Texas situation as such; it was at Tennessee, it was like finally set. In this we got a margin as well about the BMSO  line compared to last year. Since you have like some non-recurring events, we check on the right, these details of these non-recurring events are the more relevant ones. And then last year, on December, we had a deal unfurnished with light; this happened in 2020 when we took off these events and we put the recurring margins to check but didn't have a specific day. A few important points that we'd like to tell you about the staff. If I'd like an increase on this use -- on the recurring it had fallen 2%. We're having some important events about change in the plans. Contributing these changes we have these developments, and about the materials we had an increase of paychecks on the first quarter of 2020. We had , we had a per license that year but the contract were done regularly, and I'm going to go to volume and it was a record this year. Naturally, she consumed more material, and we had to stop underwriting one and two, and about -- this was about services and about recurring events. We had the judiciary events that we had in 2020 and 2021, and we have also some events that we -- there are some relevant and about the fewer situations that we had some checking, some alterations, and we had to change the nuclear fuel; and after ending the technical evaluation, we have the necessity to make the change, okay. The provisions we're going to tell you ahead were the principal facts about the costs -- operational costs when we had -- were having more impact, it was about the impact in energy worldwide because of this buying; a terminological use . It was dispatched and we had the hydro-crisis; it was a corresponding cost and this buying the fuel, about financial reports, about the debt situation that we did on the best and they started right now. They were -- they started being paid right now, and that was bigger now. And the updates on the cost of the payments on the SILIC  situation, on the taxes, okay. And this graphic situation should analyze, we can check on the next slide please. We're also presenting the graphic information for you guys; on the receipt -- group receipt, on the recurring events, on the columns that we can check under each end about the IFRS, and on the middle what is non-recurring. As I mentioned on the last slide, in the previous slide, we have the main numbers here  20% on the margin profit. On the generating energy we had this 20% profit; and most of it is from Uruguay import and closing contracts with high prices. And on production, we had this readjustment -- handover readjustment about transmitting the info, and this brought a great profit right now is promoting, okay. And it was the main events that we should check on the development on margin profits, in BRL2.2 billion  on recurring. And if we check on the next slide; the volumes and prices finalized on the right side -- on the right stock area, we check on the market. We have the market indicators from GSF, BLD  on the fourth quarter of 2020. And indeed, we have higher prices and fourth quarter 2020 we had lower prices, and we have -- it was about BRL135 . And we had -- even with this low oil price we had like better negotiations on contracts if we check on the top area. And if we checked if it was like an average, it was lower than the last year -- last quarter. But about the practice prices -- but if we check the average prices, they are above from the average prices from last year; about in the regulated events that we had like a great improvement, like if you compare from BRL413 million to BRL300 million , it's like about on the dispatchment on the hydrological -- as we highlighted here. We had a bigger dispatch -- a big amount on the Santa Cruz, and that she was stopping and we are having more generation, and this had almost around BRL500 million positive profit on the regulated contracts. Another good point to check on the upper nuclear operations, it's regulated, and the margin micro ends about the provisions -- and the provisions are just as each time from time to time while watching me made -- and had this adjustment in the bilateral contracts since we had like some SPs consolidated that were sold, and had this reduction on the SP companies; some of them were sold and we had like this negative number of BRL75 million. But once again, we have some good profits because of the Uruguay contract. We have more details I had to show that define the volumes that we already had about the prices comparing to the same time in 2020. I'll go to the next slide. Now, I have the graphic about the PMSO ; operational tax pay. On the left side, we have the IFRS; on the right side, the recurring. As I highlighted on the left side, under 2020 it was a higher number. Specifically on leathers , it was about furnished that close with light in 2020; that it didn't happen on 2021. And about the recurring one, the main highlight that we'd like to do was about the blue one, it's about the staff. There was a relevant one; and it went from BRL1.29 billion to BRL1.511 billion. It was the relevant one to highlight, and that we're doing this and we're reducing these plans since we are migrating from the . About the services under green one; we had an improvement over -- sorry, about the blue one, forgot about the material. While we've got , this was about what I said ago. It was about Kenyatta , that it wasn't working and now it is done, that's why we had this changed; and now she worked regularly in 2021. And the green one, the services; who had needed improvement, one more row than the others. And with -- as we can highlight, we have some services costs to check. We had an improvement on the costs about health, and because of the pandemic situation we have the lower number on the services. And on the next, about the provisions -- information about the provisions, about the contingency. As we can see on the chart on the left side, the main commerce that we can do when we check on the last line from 2020; we had almost a hit -- almost a negative influence of 4.247  now, we had 3.524; it was like a decrease of 20%. And we checked this; we had the number today on the low and about BRL803 million . And as Limp told us before, we had some of this judiciary decisions to be favorable to us. And we had some inputs that were analyzed about these new parameters that they were defined on the last quarter. And that is a number of BRL800 million. And on the last line, about the contingency. We request to file some risks about the tributary situation about furnish; our decision to sue as well. We had about the risk checking and it was a relevant one, and the passive -- it was already mentioned before about the decision they didn't  as well. And our President explained that the company Amazon is in this year, it was a distributor that was sold on the end of 2018, and is that was like check with Eletrobras; we have energy with Amazon-ish in these BRL400 million, it is about this, you're not going to be able to pay all these debts. And withholding it is about the financial debt that keeps capital windows sales . It was a hell of a sale that happened, and a big amount of this value is approved in prospective vision but this was the main highlights to check. Now we have EBITDA highlight, and we -- when we check about the recurring information about the EBITDA that we had four points -- that we had in 202, 4.575 ; even now we had in 2021, 5.296 . So we had an immediate great improvement. And on the first column, we have the growth on the margin thing; even in generating and transmitting. And we had an improvement on cost improvement, it was related about the buying energy to operate in Santa Cruz and in Portugal  as well. About provisions; what we think recurring -- you can check it, this is about BCLA, this is about Amazon as in Asia . And on the right side on the non-recurring items, we have about BRL2.894 million; these numbers they compliment about compulsory loading, and in the past we discovered SA-ESA  about these impairments and about the size of ESA. And about the COD Holding; this is going to be a recurring that is non-recurring; it is going to be analyzed. On the recurrings about the distributive and non-recurring about the lateral margin, the financial. About the liquid profit; we have done that -- we had the decrease. Yes, we had an decrease of about -- from BRL4.4 million almost to BRL3.5 million . We had an EBITDA recurring EBITDA, and there was most about the debts that happened on this time, and the monetary changings that they had -- it was mostly about this. And getting close to the end, we have the financial plan and we talked about EBITDA. We have this about on the one-time on the graphic on the left side; it shows the liquid debt. It shows up that the yellow line; it is the debt adjusted by the EBITDA. And on the inferior side, on the other side, we have the cost showing these numbers as it's goes by. And on the right side, we check how these numbers they get buy-in. And since we check about the checks; yes, and we take out like 15.833  and the financials to receive, and the financial actives we have the final number, that's 21.641  comparing to the last quarter as we analyze. As we go to end these numbers, and these numbers are in dollars ; yes, checking them for 2021 on the fourth quarter. We had to check on the important margin situations, and it wasn't highlighted here; we had the payments and it was highlighted in 2011 and it expired in 2021, it was valid through 10 years and renewed almost two years ago. We refinanced this bonus but we had like a part of it, around 30%, but it was already converted to BRL; it was about BRL3.4 billion, and we did this payment in October in the last quarter. We covered it as well with financial reports about the critical path about . The financial administration had to approve this in 2020, we had one -- a little more than BRL1 billion to check about this. And we had a new two -- we had to do all the relevant facts with El Paso that provided but we got provided with a latter notch under payments. They happened about BRL67 million until the last quarter. And on the last slide, the CapEx slide about investments comparing what we planned and what we made about January generating and transmitting, yes. We had around 57%, 67% about realizing this and then generating -- we were below the average. A little bit of below what we expected on transmitting, we have 75% of almost what we did. And mostly, this was about . We are replanning on the scheduling about what to do . In transmitting, we had some highlights of what we did, and the main highlight was . We had an improvement on the reports about CDC . To be -- later to TSLE , we had to save on the debenture and what we had, and these were the main impacts. And now I end my presentation. And we will be available to the Q&A session.
Operator: Now, we start the Q&A session.  And now we're going to the first question, and it is from Andre Sampaio, sell-side analyst from Santander. Please Andre, we are going to open your mic, and you can make your question. Andre, please proceed.
Andre Sampaio: Good afternoon to you all. I'd like to do two questions. First question, about the organization, about the TSU. And the second question; and we always keep questioning this, about the costs and about when this is going to be released? Thank you.
Rodrigo Limp: Okay, thank you. Thank for your questions, Andre. Starting with the second question, about the costs situation; about the financial that we showed on the annual reports. We put it available to show you on the graphics on 1.6. What the auctions and what was available and what is blocking from each one of the companies and about ; that was your question. We have 26.27% of the auctions blocked and this is about BRL67 million . And on this chart we have the  and irrespective of person about the TCU , and we had the first deliberation with the TCU  in February referring to the target value. And now the TCU  is working on the second growth modeling, checking the price as a minimum price; and we don't know when this is going to be released with the TCU . But we are following this and always when they give you information, we have this but right now we don't have the information when this is going to be released.
Andre Sampaio: Thank you, Rodrigo. Thank you for your answers.
Rodrigo Limp: Thank you.
Operator: Thank you. Our next question comes from Maria Carolina, sell-side analyst from Credit Suisse. Maria, we're going to open your audio so that you can ask your question. Please, Maria, go ahead.
Maria Carolina: Good afternoon. Thank you for the call. I have two questions. The first one, it's about recurring staff. You talked about the passive and it reduced, and it reduced from VC to CD . If you give us a bit more details about this, this process -- like to remind us how this is working on; this migration situation is working on? And then, the possible impacts that we can have -- we could have drafted this year. And the second is going to be -- we still see Amazon as giving an impact; and I remember you guys already talked with Amazon as well. How they would like to run these situation to reduce the impacts for you guys. You guys have any news about this process with the regulator that can help you guys to diminish the uncertainty about their payments? Thank you.
Rodrigo Limp: Thanks for the questions, Carolina. And one more time starting with the second question, I'm going to ask . About the Amazons, we know about the con; it's really complex operation -- complex personally to check and have some losses. Now part of the isolated systems that's with the CCC that's really relevant and about the hiring situation, and it affects the health of the company. We are treating frequently with the distributor, also with the regulator as well; these discussions we're having with them about hiring flexibility of the units but we don't have -- we don't have a statement about this as well. But we are checking about the efforts that the company has been doing -- having doing as in to reduce the commercial losses for the company. If we do this, and if we succeed on this, we're going to improve the health of the company. And passing to Elvira, if you have a compliment, and about the first question as well.
Elvira Baracuhy: Thank you, Rodrigo. No doubt you've put it right. We're following this closely into like a really challenging situation and these discussions. The regulatory system, we're going to check it, it's really complex, we have some topics that are -- we have to be -- they have to be questioned to have like, break loose a gap for us to honor these payments. But we have a communication system really good with the distributor, and we have the intention -- this topic is going to be solved but not a doubt. On a short term, we have to put in close to finish this previous -- to close this previous, right. And about the benefits situation we have, we were already worried about this and we have a lot of beneficial programs you find about this; we studied about this. And our Sustainability Director, they hardly studied about this and they did a plan. He did a plan, a migration plan; voluntary migration plan with all the staff that they can do this migration. It's not yet fully concluded, it's working on, but meanwhile we are advancing this; this migration is carrying on. Meanwhile, it was going to be defined. We are making these numbers small and we're like finishing the risk, we can slow, yes. Anyway, regarding a good impact on the result on the long-term but we -- we didn't conclude it yet but we are already working and seeing some positive results. Thank you. Thanks for your question.
Operator: Our next question comes from Juliana , sell-side analysts from UBS. Juliana , we're going to opening your audio so that you can make your question. Juliana , please go ahead.
Unidentified Analyst: Hi guys, good afternoon. I have some doubts here. This -- while the privatization of the company, I would like just to get the timing on your side. First of all, in this delay on the fourth quarter, if it's -- it can delay the process of privatization, the first impact on the situation -- on the approval. And the second, and in the fourth quarter results, if it can impact also the minimum price that's going to be made on the privatization . I'd like to know what you guys expect in about the calendar as well.
Rodrigo Limp: Perfect, Juliana . Thank you. About the calendar, we showed them the last conference considering the capitalization conclusion about this on the results on the fourth quarter, and what we have been working by what we have scheduled the limit, the deadline is May 13. We have naturally published the offer and have some dates to conclude this and the deadline is May 13. And these adjustments on the -- maybe bullishness, it is on the Chronogram  as a schedule but we have other steps to -- until we conclude the process; internal steps and external steps, process steps. About the -- we had two crisis, it was definitely January, February, but it was suspended by the syndicate. And the staff there, really important for these complex activities that we had to do; but with great effort we managed to keep it work. And we covered about all the status of our schedule without affecting the financial aspects of company in the U.S. and about the minimum price with these effects. This discussion is conduced  by the BNDS  with the accounting premium. And this definition on the minimum price, it's going to be discussed with two companies in two sides, and , he doesn't have access on this. It is between the TCU  and BNDS , and we don't the -- we don't know how to answer this.
Unidentified Analyst: And one more question. There is a minimum deadline for the roadshow or are you guys decide this?
Rodrigo Limp: This deadline happens to the CVM, analyze the offer presented; that's like five more days and requests any changes or complements that they enforce and the company do this due to this changings or check all the doubts they have and then they do a new analysis. And if everybody is okay with it, we are authorized to publish it; to realize the offer. If Elvira wants to add something?
Elvira Baracuhy: No, it was just this. It was just this , Juliana . We have a formality about when it should like less the roadshow itself; it doesn't go with the company and about the potential interest groups. But the deadlines, this should be like followed up. It did CVM decides this, the protocol this include the offer. CVM, they have the time to check it and approve and check for some doubts or some things to clarify. And doing these statements are necessary, and these are the steps that have to be followed up. Just to reinforce about the roadshow steps, it's really important even considering the size of the offer that's going to be even the primary and the secondary, if necessary, as well.
Unidentified Analyst: Thank you. That's great. Thank you.
Operator: And the next question comes from Marcelo SA, sell-side analyst from Itau. Marcelo, we're going to open your audio so that you can make a question. Please Marcelo, follow ahead -- go ahead.
Marcelo SA: Hi guys, thank you for the call, about the offer itself. You have the ATO scheduled to April 22, and if everything runs well, and if you guys be able to do this before as well, it would be great. It's going to be officialized, you're going to have this window until like May 13, right?
Elvira Baracuhy: Well May 20, it's April 25, you're going to have to check on our IR website. And May 13 is the deadline to the liquidation of the offer.
Rodrigo Limp: But as Elvira said, our deadline is April 25 but the date, it can be before or after; only after, okay. Okay, only after; perfect, it's going to be the same.
Marcelo SA: And another question about the TCU . I imagined that the TCU  already made some statements to you guys and the government as well. But I want to talk to some people; they had like, not any bigger statements to check next to you guys about the first phase of the process. Any significant situation about the values? You guys confirmed this that the statements they weren't like, as big as it says?
Rodrigo Limp: As I said on the other question, this part -- we have a part that naturally we have -- we interact with the TCU  but about the minimum price, this discussion, it's a court situation with the court and BMDS , and mean as an issue. And that we don't know which topics are going to be like getting these to be checked about the minimum price, and that discussion about our personal evaluation electronically or situation that  wasn't a part of that.
Marcelo SA: Could you have some questions, and you guys weren't about right?
Rodrigo Limp: No, this was already part of -- I mean, yes, modeling situation while there are nuclear situation, at the end it reflected on the PKI . So these events is specifically with the BMDS, and the governor gets on as well.
Marcelo SA: Okay, perfect. Thank you.
Rodrigo Limp: Thank you. Perfect, thank you.
Operator: And now we end the Q&A session. Now, we give the word back to Mr. Limp for his final consideration. Mr. Rodrigo, please.
Rodrigo Limp: Well, I'd like to thank you guys again for the interest of all of you guys, we had a lot of participants which demonstrates momentarily we did have in the company the results that will be important, and they're good. But when they reinforce the transparency, that Eletrobras conducts all these financial information, all the relevant information that we have knowledge we publish to the market. The moment that we get this information we're going to keep doing this is important; this constant dialogue of the market with the investors -- for us to be always having -- always a transparent process with the public and always improve our results. Once again, I'd like to thank you, all of you, and wish a great afternoon to all of you guys.
Operator: At this moment, Eletrobras earnings conference call has ended. Thanks. We thank you for all your participation, and have a good afternoon.